Operator: Good day, and thank you for standing by. Welcome to the Seer, Inc. Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Carrie Mendivil, Investor Relations. Carrie, please go ahead.
Carrie Mendivil: Thank you. Earlier today, Seer released financial results for the quarter ended June 30, 2023. If you have not received this news release, or if you'd like to be added to the company's distribution list, present an e-mail to investor@seer.bio. Joining me today from Seer is Omid Farokhzad, Chief Executive Officer, President and Chair; and David Horn, Chief Financial Officer. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements in the press release were issued today. For a more complete list and description, please see the Risk Factors section of the company's quarterly report on Form 10-Q for the quarter ended June 30, 2023, and in the other filings with the Securities and Exchange Commission. Except as required by law, Seer disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast, August 8, 2023. With that, I'd like to turn the call over to Omid.
Omid Farokhzad : Thanks, Carrie, and thank you, everyone, for joining us this afternoon. We ended the second quarter with $4 million in revenue, increasing 11% year-over-year and in line with the prior quarter. Based on our first half results, taken together with our outlook for the remainder of the year, we now expect full year revenue to be in the range of $16 million to $18 million for 2023, representing 10% year-over-year growth at the midpoint of the range. While our top line growth this year will be slower than our previous expectations, we firmly believe in a significant underlying market opportunity for proteomics technology. Our technology has the potential to change the trajectory and status quo of proteomics. However, changing the status quo takes time. I continue to have full confidence in the strength of our vision and our differentiated product offering to capture the opportunity ahead of us and to push the boundaries of what is possible. Just 18 months after the launch of our flagship Proteograph Assay Kit, we have launched our second product, the Proteograph XT Assay Kit. We also recently expanded our collaboration with Thermo Fisher Scientific to enable population scale studies using the recently launched Orbitrap Astral Mass Spectrometer in combination with the Proteograph XT Assay Kit in our newly launched SEER Technology Access Center, or STAC. I have never been more bullish about our opportunities than I am today. While much work remains, we're continuing to put the pieces in place to build the foundation for long-term growth. On our call this afternoon, I will walk through the near-term challenges to commercial adoption that we're experiencing and the actions we're taking to overcome them. Then I will share more detail about our new products as well as some exciting new data we're seeing from our partners and customers, which further validates my conviction for what becomes possible using the Proteograph Product Suite. Finally, I will turn the call over to David to provide more details on our second quarter financial results and our recent actions to further reduce our cash burn to preserve our robust balance sheet, which includes approximately $396 million in cash, cash equivalents and investments. As we have long said, we believe the ability to generate vast amounts of proteomic content, leveraging our technology will open up a new frontier in proteomics discovery. Prior to the Proteograph, unbiased proteomics studies were very small and therefore underpowered versus large-scale and adequately powered studies to fuel discovery. That said, we believe there is currently a disconnect between our differentiated and high-performance product and the commercial adoption that we're experiencing. Similar to other new disruptive technologies preceding us, our commercial progress will not always be linear. As we're developing the market, we're learning quickly and optimizing our approach to make sure efforts and focus are going to result in the highest return over time. While we see many tailwinds in this market over the coming months and years that would accelerate commercial adoptions, in the current market we also see some temporary headwinds. These headwinds are interrelated and we're tackling them in a way that we can most directly and quickly impact them. Most notably, these are: first, the acquisition and use of mass spec instruments, can be seen as a barrier to adoption for a segment of customers that are new to mass spec, namely the biologists and the genomitists [ph]. Second, there's a need for more publicly available data and publications, demonstrating the biological value of decoding the complex of Proteo in an unbiased manner at scale in order to shorten our sales cycle. And finally, a challenging macro environment has created additional barriers in terms of the availability of capital for new disruptive technology. We're taking steps to address these temporary headwinds and to work to lower the barriers to commercial adoption. So what are we doing? First, we're making changes to enable easier access to mass spec proteomics data. This is especially important for biologists and genomitists. We've always said that the addressable market for our technology will be across both proteomics and genomics market. While this remains the case, there are some nuanced behavioral differences between genomics and proteomics customers that requires us to refine our approach to drive market development adoption. Proteomics or mass spec expert customers previously had technological barriers that limited the scale of their deep unbiased studies. Consequently, they did not have a need to store or maintain large core of samples. Additionally, prior to the Proteograph, the investments and operations involve large capital expenditures for the acquisition of the mass spectrometers and relatively small expenditures on consumables. As a result, we're finding that the traditional mass spec technology is performing proteomic research readily recognize the value proposition of our Proteograph Product Suite. However, on average, there's slower to ramp up large-scale unbiased proteome studies since they need to secure the funding and samples to pursue large-scale studies. To remove the barrier of capital investment for the mass spec experts, we have introduced the strategic instrument placement program, or SIPP to allow them to begin using the Proteograph right away by utilizing available operating budgets. This will help them generate the data needed to secure funding and samples to conduct larger studies. Conversely, biologists and genomics, generally have access to biological sample are very familiar with consumable expenditures for generating OMEX data for the research and are better positioned to conduct large scale studies. These customers are almost universally recognized the value of unbiased approaches, given their experience with the discovery potential of unbias genomes and exomes relative to targeted micro area approaches. We're finding that many of these new to mass spec potential customers view the acquisition and use of a mass spec instrument as a barrier to adoption, yet they appreciate the discovery potential of the Proteograph's powerful and scalable unbiased approach. For these customers, we have now introduced the Seer Technology Access Center or STAC, which allows a Proteograph user to run samples in their own lab and have Seer run the mass spec or alternatively provide end-to-end study services from sample to data. We believe that as these important customers gain access to and validate and apply the biological insights provided by the Proteograph Product Suite, they will, over time, add mass spec technologies to their labs. Importantly, as I mentioned at the top of the call, we have expanded our collaboration with Thermo Fisher Scientific to develop and optimize Proteomics and Proteogenomics workflows. As part of this program, STAC will provide mass spec services by primarily leveraging Thermo Fisher Scientific Orbitrap astral mass spectrometer along with our new Proteograph XT Assay. While it is still very early, we're already seeing positive traction in the initial stages of our STAC launch and believe that this STAC will increase the velocity at which customers can access unbiased Proteomics data at depth and scale and improve the rate that customers can adopt and ramp the use of the Proteograph Product Suite. This will stimulate publicly available data and publications, demonstrating the power of our technology. Second, we're taking initiatives to shorten the sales cycle. The sales cycle is generally inversely correlated with customers' comfort to adopt technology. In the absence of third-party publication, the sales cycle is protracted because proof of principle studies are needed, and it takes time to establish credibility and build relationships with new accounts, while the publication base is still growing. There are four customer papers currently under peer review and where there are several additional ones that will be submitted by the end of the year. We continue to see strong interest in the Proteograph Product Suite and a growing number of opportunities available to us. As we wait for more third-party publications to enter the public domain, we're building market awareness of the Proteograph Product Suite and educating potential customers on the breakthrough nature of our technology and its unique capabilities. We're doing this by doubling down on creating in-person opportunities for customers to get to know us our KOLs and our technology through increasing meetings and seminars. In addition, we're continuing to support potential customers with proof of principle studies, help them understand and analyze these robust data sets and support our existing customers with publishing papers and in development of new studies. We have also made recent changes to the commercial team, both in terms of leadership and regional business managers. While it's going to take some time to see the impact from these changes in aggregate, I'm confident in the team and the strategy we have in place to deliver on our commercial opportunity ahead. Finally, amidst this challenging macro environment, we're providing creative solutions for customers to obtain the Proteograph Product Suite. We're hearing from prospective customers that they're especially cautious purchasing a new disruptive technology whose value proposition is not yet widely demonstrated through peer review publications. To address this, we're offering creative solutions for customers to access the biological insights from the Proteograph Product Suite, either through accelerating the utilization through SIP or accelerating the data acquisition through stack. Through SIP, we loan an instrument to the customer for a period of time, typically less than a year when coupled with an initial significant purchase of consumable kits. This program is also aided by the fact that many potential customers may have more readily available access to funds through operating budgets rather than capital budgets. We've already seen some good success with the SIP since its launch earlier this year. Reducing these barriers to adoption will also help us accelerate the generation of use cases and data sets to exemplify the power of the Proteograph Product Suite and unbiased proteomics at scale. These presentations and peer-reviewed publications will thereby provide proof to other potential customers of the value of our solution and its unique ability to provide insight at scale. As I mentioned at the top of the call, we made two important announcements at the American Society for Mass Spectrometry Conference in early June. First, the launch of the Proteograph XT as kit; and second, the launch of the stack and expansion of our collaboration with Thermo Fisher Scientific. The Proteograph XT assay workflow allows customers to design large-scale unbiased proteomics studies with an unprecedented combination of site, scope, speed and scale. The Proteograph XT assay uniquely provides high-resolution insights into the protium at the peptide level, enabling access to the diversity of species and sample types more than doubling sample throughput without compromising performance, all with less than 1 hour of mass spec time, further enabling studies to scale to power discovery. The Proteograph XT assay kit makes the protium even more accessible for both proteomics and genomics researchers as they deepen their biological insights and characterize genomic variants with functional proteomics information. And a single operator can access hundreds of samples per week. This is incredibly exciting since there is a vast amount of proteomic content yet to be discovered with enormous untapped potential to make an impact on our understanding of health and disease. At ASMS, Thermo Fisher Scientific highlighted the exceptional performance of the Orbitrap® Astral Mass Spectrometer in combination of the Proteograph XT for deep unbiased proteomics at an unprecedented scale and speed. The combination of the fully automated workflow of the Proteograph XT and the Orbitrap Astral produces over 6,000 protein IDs and over 54,000 peptide IDs per plasma sample with a 1% false discovery rate. The demonstration of this unprecedented depth, scale, and speed has paved the way for multiple discussions regarding population-scale unbiased proteomic studies which were impossible to contemplate prior to the Proteograph XT. As prospective customers will readily access studies, we believe the unparalleled value of the depth and breadth of this unbiased content will be demonstrated and the flywheel will begin to accelerate. The level of information we have today in the proteomic space is just at the tip of the iceberg compared to what we think will be possible 10, 5, or even two years from now. We're beginning to see signs of these customer studies starting to accelerate. The number of customer-driven studies we saw in the first half of this year has doubled from what we saw in the same period last year. Importantly, we're seeing some incredible insights, including the impact of the expanded capabilities with the Proteograph XT in early customer data. In June, we held a KOL panel meeting where investors had the opportunity to hear from four researchers representing different customer types and applications on their use of the Protograph. These customers included Steve Carr of the Broad Institute of MIT and Harvard, Josh Kuhn of University of Wisconsin, Philip Ma of Prognomics, and Chris Mason of Weill Cornell Medical. This event showcased strong enthusiasm for the power of unbiased proteomics and what the Proteograph product suite and XT assay kit will uniquely enable, which was not possible before. Dr. Chris Mason, who is a professor of physiology, biophysics, computational genomics, and neuroscience at Weill Cornell Medicine, has utilized a combination of the Proteograph XT and Orbitrap Astral in his longitudinal plasma samples of seven astronauts pre-flight and post-flight and identified over 7,500 proteins in his study in an unbiased way. This formed the basis for the identification of new biomarkers that are up and down regulated during space flight. These results demonstrate the step function change in performance of the combination of the Proteograph XT and the Orbitrap Astral for unbiased proteomics. Dr. Mason plans to publish these results as part of the broader multi-omic study of the impact of spaceflight on astronaut physiology. In June, another pre-print was published in bioRxiv by researchers at Auburn University that showcases the power of the Proteograph product suite beyond plasma or biofluid samples that was exemplified in our applications lab. This paper shows how the Proteograph Product Suite enables the proteomic analysis of highly complex tissue such as skeletal muscle. This tissue type has a wide dynamic range of protein expression levels similar to plasma and has been previously difficult to access. This paper provides yet another example of the flexibility and the power of the Proteograph product suite to analyze novel sample types and provide differentiated insights. And we're confident than ever in the long-term opportunity ahead of us. That said, until we have more third-party data in the public domain, we have some temporary headwinds impacting our commercial adoption, which are amplified by a challenging macro environment. We're confident that the actions we're taking will begin to accelerate the pace of data acquisition and customer publications. As we continue these market development efforts, we have taken action to reduce our headcount to streamline our organization across our business areas. While it is never easy to say goodbye to valued members of our team, the rightsizing of the organization will better match our cash burn with our revenue. With these changes, we're preserving our ability to execute against our commercial opportunities, while pushing the boundaries of what's possible in proteomics. I want to thank all of our Seer employees for their dedication and hard work every single day to help realize our vision of unlocking the power of the Proteo. I truly believe that we have the technology, the team and the strategy to bring the next phase in Omics to labs globally. With that, I will now turn the call over to David.
David Horn: Thanks, Omid. Total revenue for the second quarter of 2023 was $4 million, representing an increase of 11% compared to $3.6 million in the second quarter of 2022. The increase in second quarter revenue was primarily driven by increased consumable kit sales related to the Proteograph Product Suite, service and grant and other revenue, offset by lower instrument revenue, which is partially a function of the rollout of our SIP, whereby we loan an instrument to a customer if coupled with an upfront purchase of consumable kits. Product-related revenue for the second quarter of 2023 was $3 million, including related party revenue of $1.4 million and consisted of sales of SP 100 instruments consumable kits and platform evaluations. Service revenue was $467,000 in the second quarter of 2023 and was primarily derived from the completion of a customer service project. As Omid mentioned, we also announced the launch of STACK, where we will run mass spec for our customers and in some cases, provide a full workflow solution for customers who would like to access our technology. Grant and other revenue was $538,000 in the second quarter of 2023, largely related to our SBIR grant from the NIH. Our NIH grant expired in the second quarter, and we do not expect material grant revenue for the balance of 2023. Total gross profit was $2.3 million for the second quarter of 2023, representing a gross margin of 57% compared to $1.6 million in the second quarter of 2022, representing a gross margin of 44%. Gross profit was driven by greater product revenue from higher-margin consumable kits, service and grant and other revenue. As we ramp commercial adoption, we continue to expect variability in our overall gross margin on a quarter-by-quarter basis as a proportion of instrument and consumable sales will fluctuate between any given quarter. Total operating expenses for the second quarter of 2023 were $30.2 million, including $9.8 million of stock-based compensation, an increase of 21% compared to $25 million, including $8.4 million of stock-based compensation in the second quarter of 2022. Research and development expenses for the second quarter of 2023 were $14.1 million, an increase of 30% compared to $10.9 million in the second quarter of 2022. The increase in R&D expenses was primarily due to an increase in product development efforts related to the Proteograph Product Suite, including employee compensation costs and other related expenses due to growth in R&D personnel and expenses associated with our facility, professional services and depreciation of equipment. Selling, general and administrative expenses for the second quarter of 2023 were $16.1 million, an increase of 13% compared to $14.2 million in the second quarter of 2022. The increase in SG&A expense was primarily driven by greater employee compensation expenses and stock-based compensation. Net loss for the second quarter of 2023 was $23.4 million compared to $22.8 million in the second quarter of 2022. We ended the quarter with approximately $396 million in cash, cash equivalents and investments. Turning to our outlook for the year. As Omid mentioned at the beginning of our call, we now expect revenue to be in the range of $16 million to $18 million for 2023, representing year-over-year growth of 10% at the midpoint of the range. We are committed to maintaining our strong financial position and are continuing to take a very disciplined approach with our spend. Given that our revenue ramp is developing more slowly than anticipated, we feel it is necessary to reduce our operating expenses in order to align our cash burn with our revised revenue expectations. As Omid shared, we have implemented a reduction in force of approximately 12% of our workforce. We estimate that we will incur approximately $600,000 of costs, consisting primarily of cash severance payments, which we expect to recognize in the third quarter of 2023. We have also taken measures to reduce our non-personnel operating expenses for the second half of 2023 to further reduce our expenses and cash burn. As a result of these actions, we estimate that our 2023 free cash flow burn will be less than our free cash flow burn in 2022. While it is always difficult to make these changes, we feel this is a necessary step for us to position the organization for success over the long-term. At this point, I would like to turn the call back to Omid for closing comments.
Omid Farokhzad: Thanks, David. While this quarter was challenging as we navigate temporary headwinds and manage through the current environment, we're taking systematic steps to lower the barriers to commercial adoption of our technology. As I said earlier, the path to commercializing new innovative technology is not always linear. I firmly believe that as our publication base grows, we will see increasing adoption of our technology. In the meantime, we're focused on positioning ourselves for future success, and I look forward to updating you on our progress. With that, we will now open it up for questions.
Operator: Thank you. Please stand by while we compile the Q&A roster. The first question comes from the line of Tejas Savant of Morgan Stanley. Tejas, please go ahead.
Tejas Savant: Hey, guys, good evening, and thanks for the time. Maybe Omid and David, to start with the guidance cut here, roughly about $7 million at the midpoint. Can you just help us build a bridge from the old guide to the new guide? I know you highlighted, Omid, some of the access to mass spec and budgets, et cetera. But any, sort of, additional color that you can share on that? And then, David, if you could just elaborate on your assumptions for PrognomiQ and services and the new outlook, that would be great.
Omid Farokhzad: Thank you, Tejas. Look, as we had previously said, we had expected revenue to be more weighted toward the second half of the year. We've been saying that since the beginning of the year. We had expected the velocity of conversion of opportunities to after sales to pick up. And we're just not seeing it. And if the velocity doesn't pick up, then we expect the revenue to be in the range that we just updated today. At this point, given what we're seeing, we just still want to be forecasting in terms of what we're not seeing. And what we're seeing is, slower-than-expected movements for the three reasons that I highlighted Tejas in the prepared remarks. I still do see a path to more momentum, if things start to ramp up. And if they do, then we will update you. But I think given our visibility, I think it was prudent to lower guidance to what we stated. David, I don't know if you want to add more color?
David Horn: Yeah. Just, Tejas just following up on your questions around, PrognomiQ and the services component, I think we think PrognomiQ's going to stay pretty consistent as they have been. They will ebb and flow a little bit. So it will kind of be plus or minus around what they have been doing, given that they've got a larger study underway. In terms of the Services piece, we are having some assumptions around an increase in service with our stack. But it's not a, I would say, a huge contributor, but it's certainly -- we certainly expect it to be -- to continue to grow over the course of the second half of the year.
Tejas Savant: Got it. Okay. And Omid, on China specifically, I mean, could you just sort of give us some color on the ground conditions there. Clearly, I mean, that was cited as a major region in terms of the weakness. A lot of other Life Science companies have experienced this quarter and into the back half, so just curious as to what you on the ground?
Omid Farokhzad: Tejas, we're just not seeing China bounce back, the way we had expected. We're just not seeing much activity at all. I mean it was a factor in that context. And I don't really have visibility to when things are going to change, but I don't expect that Tejas to change meaningfully over the next couple of quarters.
Tejas Savant: Got it. Okay. And then final one for me on the Proteograph XT launch any early feedback that you can share, particularly sort of evidence of customers interested in purchasing the program Proteograph in combo with the Astral year. And for those users have gotten their hands on both, over what timeframe or we do you expect sort of sample size of their experiments to go higher over here?
Omid Farokhzad: Tejas, let me break that question up into two. I'll tackle the first half. I'll give David the last part of it. The feedback on XT has been just really great. We were seeing depth and speed of coverage of unbiased proteomic with accuracy and precision that was simply just not possible. So, this was not an incremental improvement to what was possible before. We're just generating data that was not possible before the XT and now it's possible after the XT. The performance of the XT and the Astral is what got highlighted at the ASMS by our colleagues at Thermo. And the performance is just exceptional. I mean, to get to a depth of 6,000 proteins with 54,000-plus peptides -- and by the way, since then, we've seen customers generate data that even exceeds that, Chris Mason's study with the astronaut got to 7,500 proteins in his study that was just under 40 samples with those seven astronauts. So, the data is phenomenal. By the way, it paves the road to now begin to really think about doing population scale unbiased deep proteomics again, something that you couldn't even contemplate before. To me, the -- when I see data come that is exceptional, as a scientist, it excites me, but it's also eagerly waiting for these data to begin to get published because I think the publications from customers is needed to get this flywheel going. Now, to your question about the customers asking for both together, there's actually one of our customers who have now taken an XT and they're now in discussion with Thermo, I think they've actually placed the order to also get to get an Astral at the same time. So, they brought it in XD already, and they're now -- they have not placed an order to also get an Astral to go with it. But that's not one, but certainly, the end is larger in terms of customers expressing real interest in the kind of proteomic data that they're now seeing. So, I'm cautiously optimistic Tejas, but I really think what's needed really to kind of change the velocity just publications from customers. And then hand it to David for the second half of your question.
David Horn: Yes. Around the sample sets, Tejas, I mean to Omid's point, I do think given the throughput there now and given some of the excitement we're seeing around what the combination of the XT and Astral can produce that people are talking about some of those larger studies, which is great to see. Again, it will take time to secure the funding, secure the cohorts, but there is realization now that this is possible and people can go do this type of work in studies.
Tejas Savant: Got it. Appreciate the time, guys. Thanks.
David Horn: Thanks, Tejas.
Operator: The next question comes from the line of Derek De Bruin of Bank of America. Derek, please go ahead.
Derek De Bruin: Hi, good afternoon.
David Horn: Hey Derek.
Derek De Bruin: So, I'm just curious about what's your split right now between pharma and academic government and I assume we're still very heavily weighted towards the Atrium Government segment, but then I have a follow-on question on that?
David Horn: Yes, Derek, it stayed pretty consistent as we've said, it's -- if you look at our total opportunity set, kind of what's in the pipeline, it is a 50-50 split. If you look at who's kind of moving funding faster and actually writing checks and purchasing, it's actually the biopharma commercial folks. Simply, they just have access to budgets and things they can move around more quickly. Now that said, we implemented our strategic instrument placement program, our SIP program that essentially if you commit upfront to some consumable purchase, we'll place the instrument, loan the instrument to them. And so that has helped with some academic folks who may have the operating budgets that they can spend, but not necessarily capital budget this year. And then just again, overlaying the macro, as Omid talked about, we see it in both commercial and academic that just the decision-making for a novel technology, again, without a lot of publications has just been elongated. So we're kind of playing in that dynamic. So again, the SIP and the STAC programs are meant to kind of mitigate some of that. But again, we still -- in terms of who's purchased, it's still tilted towards the commercial side.
Derek De Bruin: Got it. And as part of the academic government hesitation besides publications, just that they're worried about budgets for next year? I mean, obviously, there's a lot of moving parts going on with NIH and people worried about that. How much of this is just people not wanting to commit to new programs?
A – David Horn: Yes. I mean, certainly, that's a factor, Derik, in terms of it just -- it kind of weighs on people as they're looking at that decision, especially from a capital purchase perspective to go out and purchase a new instrument. That said, we do have some government entities that have purchased and are planning to purchase. And so again, the money is there, it's just the caution with which people – and the time it takes them to kind of reach the decision point. We see it elongated as Omid talked about the velocity is just not again picking up the way we'd like to see it pick up. But the interest is there, and it's just -- it's a matter of kind of grinding through things. But certainly, it's weighing on the factors that people are worried about budgets and especially in this uncertain environment on the macro side.
Derek De Bruin: When you look at the STAC and the SIP programs, how should we think about those in terms of just margin impact, I mean, versus an outright sale? How are you structuring those programs? I would assume the services just because you actually have to have people running it the business -- running the Assays, it's going to be a little bit more expensive. Can you just talk about are those costs more cost effective, less cost effective, just how you're thinking about it versus outright sale?
A – Omid Farokhzad: Derek, Omid here. Let me just make a clarification on the STAC and then I'll hand it to David for the balance of your question. The reason for this STAC, the key reason of why we decided to this STAC was to accelerate customers getting access to data so that there's a flood of data that becomes available -- and so when you fill the top of the funnel, then that's going to then trickle down to more and more papers getting published. That was the motivation. Now the STAC is also designed to really appeal to a customer base that historically does not have either access to mass spec or familiarity with the mass spec or comfort with the mass spectrometry data. The business model remains the same, which is we like to sell the Proteograph instrument because our business model, 100% is a distributed business model of selling instruments and associated consumables in the form of our Assay Kit. So a customer who may buy an instrument may buy the consumable and then once they do that, send their peptides to Seer and will run the mass spec and then provide the data back to them. So that's -- the -- and by the way, we now have those customers already that are purchased that we have committed to running mass spec for them. In addition to that, the customers may choose to do end-to-end solutions in terms of a service, but again, the goal being that we just see a gap in the market in kind of getting customers access to the Proteograph data so that they see the power of the insight that comes with it. So let me now hand it to David that's going to comment to you about the margins and how you think about that.
David Horn : Yes. So on the STAC, Derek, again, you're right, it is service. And Omid said, there's forms that customers can use the STAC, either I've got my instrument and I just -- I want to run -- I want you to run the mass spec for me, because I'm a biologist or genomics and I don't -- I'm not that familiar with mass spec and I just want my data. So that's really what we're trying to provide for those folks. And you're exactly right. It's not as good as our consumable margins, but it's better than our instrument margin. So it kind of fits in between the instrument margins and the consumable margins, as you would expect. In terms of the SIP [ph], those deals are actually -- since the way those are structured is, again, an upfront consumable purchase and then we'll loan the instrument. And so again, from just a pure revenue standpoint and a margin standpoint, that's pure consumable revenue, which is obviously great revenue. But the absolute dollars are obviously lower in most cases because usually, you'd have an initial consumable purchase along with an instrument purchase as well. And so the customers do have the option to purchase the instrument over time. And -- but again, just from a pure margin perspective, the SIP deals are essentially consumable deals, if you will.
Derek De Bruin: Thank you.
David Horn : Thanks, Derek.
Operator: One moment for your next question. The next question comes from the line of Dan Brennan of TD Cowen. Dan, please go ahead.
Kyle Boucher : Hey, good afternoon. This is Kyle on for Dan. Thanks for taking the questions. I had a quick one on the instrument placement model here. So is this being offered directly to every prospective customer for Proteograph now, or are you still being a little bit selective who ultimately gets this model?
David Horn : Yes, Kyle, thanks for the question. We are being strategic about it, which is why we call it the strategic instrument placement program in a sense is we really want customers who have projects and have things lined up where they really want access. And in also want to publish, right? Again, coming back to the overarching objective of what we're trying to do is just get more data out there, so people can publish and validate what we're excited about with the technology. And so it's really about placing these instruments with some key accounts. And again, making sure that they are going to generate the consumable pull-through over time, such that at a point in time, that they will go ahead and purchase the instrument. So we hope that it becomes almost a deferred purchase in a sense that they will we'll purchase them over time. But certainly going into it, there's no expectation of that. We certainly are expecting that they will drive the consumable pull-through. So we are being thoughtful about who we provide this to.
Kyle Boucher: Got it. And then is there anything baked into the guide on increased customer traction with new publications in the back half of this year? Is that sort of pushed out to 2024, perhaps?
Omid Farokhzad: Karl, we have visibility to four customer manuscripts that are currently under review and probably another handful that are scheduled to be submitted. And the key thing to keep in mind is that it just takes time for these papers to go through the peer review process. And by the way, there's almost always an inverse correlation between the quality of the journal and the speed of review where if you want to publish a really, really high-quality journals, it usually takes longer and/or call it turn [ph] is easier to get it in faster. And so the visibility that I have to the papers that are under review at least three and four of them are sort of what I would consider the very, very top kind of journals. And again, these are customer papers. We sit there, we try to support them. But ultimately, they're the ones that are going through review process, and we just we just sit there like expected parents waiting for the child birth to come. But I'm optimistic that we're going to begin to see these papers. And again, the data is great. The studies are great. These are great journals. And I think once customer publication comes, there's going to be hopefully a significant tailwind towards adoption for us. 
Kyle Boucher: Got it. Thank you.
Operator: One moment for your next question. The last question comes from the line of Rachel Vatnsdal of JP Morgan. Rachel, please go ahead.
Unidentified Analyst: Hello. This is [indiscernible] on for Rachel from JPMorgan. So thank you for taking the question. I just wanted to follow up on these alternative leases [Indiscernible] stock options that you provide. Are you seeing an uptick in those versus capital purchases, or would you say the ratio is still stable in since new program? Thank you. 
Omid Farokhzad: Yes. We're seeing -- I mean, these were just announced and with the stock was just announced at the ASMS in early June. So these are the early days, and I think we -- I mean early I would say, months. And we just have to see what happens over the course of the coming months, but we're seeing good traction in terms of customers requesting information and engaging with our sales and support folks. But I think too early for me to make a call on that. On the SIP, let me see, David, to give you more color.
David Horn: Yes. On the SIP, we are seeing good traction there. And I think it speaks to the positive nature of which people view the option for them. And so again, I think we -- a good portion of our placements over the first half have taken advantage of that. And so I think that's I think, that speaks to the -- that it's resonating with folks while they secure the capital funding to purchase the instrument outright, it allows them to kind of get started in and get moving with some of their studies that they'd like to do. So I think the SIP has gotten good traction and we're continuing to be optimistic about it.
Unidentified Analyst: Thank you.
Operator: This does conclude today's conference call. You may now disconnect.